Nathan Coe: Good morning, everyone, and welcome to Auto Trader's Results for the Six Months Ending 30th of September 2023. As usual, I'm joined by our COO, Catherine; and our CFO, Jamie.  Our performance in the first half demonstrates the strength of our business through different economic cycles, the strong partnership we have developed with our customers and a resilient used car market. Vehicle demand remains robust, and supply will continue to be impacted by low new car sales over the past few years.  We've also made good progress on our key strategic initiatives across our marketplace, platform and digital retailing, providing a long runway for future profitable growth. For this reason, we have confidence in both the second half of the financial year and the years to come, particularly as many of the structural changes in the automotive industry, be that electric vehicles, agency models or direct sales, all present opportunities to extend our brand, technology, data and buying experience to help new and existing customers and car buyers.  Let's move now to our strategic overview. Our core Auto Trader business grew revenue 9%, operating profit 10% and achieved operating profit margins above 70%. Revenue growth was higher at a group level, and group operating profit also grew 10%.  Our core retail revenue line continues to perform well. Average revenue per retailer, or ARPR, grew 12%. And while headline retailer forecourts fell, when adjusted for the Webzone disposal, they actually grew 1% to record levels. ARPR growth was underpinned by both our April 2023 pricing and product event and continued uptake of our prominence products.  Audience levels continue to grow and now at record levels that are significantly higher than pre-pandemic levels. We're scaling up and optimizing our Deal Builder products. We now have 10x more retailers on Deal Builder than we had at the end of March this year and have completed 10x as many deals in this 6-month period as we did in the whole of last year.  The structural changes in the new car market present an opportunity to the business. While we're not yet realizing meaningful revenue growth, there are signs that we're on the right path with the combination of advertising products for manufacturers, our existing new car product for retailers and the integration of Autorama into the Auto Trader platform.  Now turning to the financial headlines. Group revenue increased by 12% with Auto Trader revenue increasing by 9%. The difference is due to Autorama, which we own for just over 3 months of the comparable period in financial year '23. Both group and Auto Trader operating profit increased by 10%. Autorama made an operating loss of £5.6 million, and noncash central costs relating to the acquisition were £14.7 million.  Group operating profit margin was 59%, and Auto Trader's operating margin was 71%. Basic EPS was up 4%, which is lower than operating profit growth because of a higher effective tax rate due to the increase in U.K. corporation tax in April 2023 and the nondeductibility of some of the previously mentioned central costs. Cash generated from operations was up 12%.  We returned £117.1 million of cash to shareholders through £51.3 million in dividends and £65.8 million in share buybacks. Today, we're also declaring an interim dividend of 3.2p per share. We'd like to flag that while the U.K.'s digital services tax was designed for multinational digital businesses, it is beginning to come into view for Auto Trader. At present, we believe any impact is likely to be short-lived and one-off in nature, but Jamie will cover this more shortly.  Now to our operational headlines. Our audience position is as strong as it has ever been. Cross platform visits were up 14% to 77 million per month. Cross platform minutes were up 11% to 555 million minutes, and we continued to account for over 75% of time spent across our main competitor set.  As previously mentioned, retailer forecourts decreased 3% to 13,710, however, underlying retailers were up 1%. And we now have over 900 more U.K. retailers working with us than before the pandemic. ARPR was up by 12% to £2,683, driven by both price and product, offset by a slight decline in the stock lever.  New and used live stock were broadly flat, although new car stock declined towards the end of the half as we transitioned from an all-you-can-eat model to a slot-based charging model. This aligns more closely with our used car model. It improves the quality of new car stock on the platform and had no negative impact on new car revenue. The average number of full-time equivalent employees increased to 1,220 during the period.  Finally, we have our cultural KPIs, which reflect our focus on creating a unique and great place to work so we can attract, develop and retain the very best people. To that end, to build on our strong ownership culture and to ensure every person at Auto Trader is aligned with and rewarded for creating a more valuable Auto Trader, we have introduced a new all-employee share scheme. The scheme rewards employees with an additional 10% of their salary in shares each year, which vests over a 3-year period. We believe we can accommodate this scheme within our long-term Auto Trader margin goal of above 70%.  92% of our employees are proud to work at Auto Trader, and our Glassdoor rating is 4.6 stars out of 5. We believe we have the right initiatives in place and are making progress, although most KPIs are relatively flat during this period. However, we have made good progress since first reporting these.  We're aiming to be net zero across our value chain by 2040 and have amended our base year to incorporate the acquisition of Autorama. Our carbon emissions for the 6-month period across Scopes 1, 2 and 3 were 37,300 tonnes.  I'll now hand you over to Jamie to talk through the financials in more detail. 
James Warner: Thanks, Nathan, and good morning, everyone. We'll start by looking at the core Auto Trader financials. Total Auto Trader revenue increased 9% to £259.4 million. Trade revenue also increased 9% with the largest component of this being retailer revenue, which grew by 8%. The year-on-year increase was largely a result of retailers continuing to see value in advertising on our marketplace and taking additional products.  Average revenue per retailer increased by 12% to £2,683 per month, with more detail given on the following slide. The average number of retailer forecourts advertising on our platform decreased by 3% to 13,710. But after accounting for the disposal of Webzone, U.K. retailers increased 1% year-on-year. Also within Trade, we've seen an increase in Home Trader pay-as-you-go listings and growth in other trade revenue.  Consumer Services revenue increased by 7%. Within this, private revenue, which is largely generated from individual sellers who pay to advertise their vehicle on the Auto Trader marketplace, increased by 11%, and Motoring Services revenue increased 2%. Revenue from Manufacturer & Agency customers increased 21%, which was largely from manufacturers using our advertising products that provide their new cars available for sale on Auto Trader.  Now on to ARPR, live car stock and retailers. The chart on the left shows the components that contribute to the movement in ARPR compared to the prior year. As you can see, the first half ARPR growth was driven by both the price and product levers, with the stock lever seeing a small decline. It's worth noting that the disposal of Webzone, where retailers were lower yielding, has inflated ARPR in the first half by 3 to 4 percentage points. This impact will be less at the full year with the disposal having taken place in mid-October 2022.  We delivered our annual pricing and product event for all customers on the 1st of April 2023, which included additional products and a price increase, which contributed growth of £146 per total ARPR through the price lever.  Product growth contributed £165, with just over half of this growth coming from the second module of Auto Trader Connect, which is included in our advertising packages in April 2023. The remaining product growth -- lever growth was largely due to an increase in retailers using our prominence products, most notably our higher-level Enhanced, Super and Ultra packages, where penetration increased to 37% of retailer stock by September 2023.  Turning then to stock, you'll see on the chart on the right-hand side that the number of live cars advertised on Auto Trader was broadly flat, which was the case for both new and used car segments. The number of live used cars comes from retailers, home traders and private listings, but only retail listings, which saw a small year-on-year decline, impact ARPR.  Total Auto Trader costs increased 8% to £75.8 million. People costs increased by 7%. This increase was partially driven by an increase in the average number of full-time equivalent employees to 1,032 and an increase in underlying salary costs. Marketing spend increased by 8%. Other costs, which include data services, property-related costs and other overheads, increased by 13%. And depreciation and amortization decreased by 15%.  As a reminder, our low levels of CapEx and depreciation are not a reflection of low levels of investment in our business. In addition to our investment in cloud-based services, we have over 350 people in product and technology who are continuously improving our platforms and developing new products for consumers and retailers, the costs for which are taken in full through our income statements.  Operating profit increased by 10% to £184.9 million, and core Auto Trader operating profit margins remained flat at 71%. Our share of profit generated by Dealer Auction, the group's joint venture, increased 18% to £1.3 million.  Having covered the Auto Trader part of the business, we'll now move on to the Autorama results. The acquisition completed on the 22nd of June 2022, and so the prior year comparator for revenue, costs and operating losses represents just over 3 months. Here, we've also included the second half of last year as a comparator, which shows a like-for-like 6-month period.  Autorama revenue for the first 6 months of this financial year was £21.1 million, with vehicle & accessory sales contributing £14 million and commission & ancillary revenue contributing £7.1 million. The Autorama business delivered 565 vehicles, which were temporarily taken on balance sheet in the period, representing just over 10% of total vehicles delivered. The cost of these vehicles was taken through cost of goods sold with the corresponding revenue in vehicle & accessory sales, which largely offset one another.  On the cost side, we saw people costs of £6.7 million relating to the 188 FTEs employed on average through the period. Marketing was £2.6 million, and other costs was £2.1 million. There was a £1.3 million of depreciation and amortization, which was largely for developed software.  Total deliveries amounted to 4,593 units, which comprised of over 1,500 cars, over 2,500 vans and over 200 pickups. The van market has seen better levels of supply through the leasing channel compared to cars, although average commission levels were slightly lower year-on-year. This was due to lower volumes impacting tiered commission, which is calculated over a 12-month period.  The Autorama segment made an operating loss of £5.6 million, which was some improvement on the second half of last year, mainly through cost savings brought about by the integration with the main Auto Trader business and platform.  Group central costs, which are noncash items relating to the acquisition of Autorama, are expected to be £21 million for the full year. This is made up of £11.1 million of deferred consideration and £10 million of depreciation and amortization. The D&A is slightly higher than previously guided. As due to quicker integration with Auto Trader, we're accelerating the amortization of the Vanarama brand.  With total group revenue up 12%, group costs up 15% and an 18% increase in our share of Dealer Auction's profit, we saw total group operating profit increased 10% to £164.6 million. Group operating profit margins were broadly flat at 59% and are expected to increase for the full year with no deferred consideration in the second half of this year.  We continue to deliver strong cash flows consistently over time. As we grow, it's worth emphasizing the strong cash-generative nature of our business leaves us well placed to return surplus cash to shareholders. Cash generated from operations was at £184.2 million for the 6-month period.  The statutory income statement outlines areas beyond our revenue and operating costs. Net finance costs increased to £1.8 million due to higher borrowing costs. Our net profit before tax was £162.8 million, 10% higher than last year and in line with group operating profit growth. The group tax charge of £46 million was significantly higher than last year due to the U.K. corporation tax rate increasing to 25%.  As Nathan mentioned earlier, the group is starting to fall within scope for the U.K.'s Digital Services Act with revenue now exceeding £500 million. There are certain revenue streams which we believe are exempt, which brings us below the threshold for financial year 2024. However, as we move into financial year 2025, we anticipate our in-scope revenue could exceed £500 million, in which case the tax would be incurred. DST is calculated at 2% of all in-scope revenue and is taken as an operating expense.  The government gave an update in July where they updated their intended time line to implement Pillar One of a 2-pillar global tax solution in calendar year 2025. At this point, DST would be replaced by a tax with significantly higher qualifying threshold, currently expected to be £20 billion of revenue. And at that point, the group was therefore ceased to pay the tax. If this expected time line is matched, this cost would be a one-off in financial year 2025.  Basic EPS increased by 4%, which was slightly higher than the growth in net income due to fewer shares in issue following our share buyback program. Finally, the directors are recommending an interim dividend of 3.2p per share.  Now to briefly review net bank debt and capital policy. At the end of September 2023, the group had drawn £52 million of its syndicated revolving credit facility and held cash and cash equivalents of £24.7 million. During the period, cash generated from operations was largely used to pay tax or returned to shareholders through a combination of dividends and share buybacks.  A total of 10.4 million shares were purchased for a consideration of £65.8 million before transaction costs of £0.3 million, and a further £51.3 million was paid in dividends, giving a total of £117.1 million of cash returned to shareholders. The group's long-term capital allocation policy remains unchanged.  That concludes the financials. I'll now hand over to Catherine to talk you through the market dynamics and progress against our strategic priorities. 
Catherine Faiers : Thank you, Jamie, and good morning, everyone. Moving on to Slide 15 and looking at both new car registrations and used car transactions. It is worth looking at these in turn and separately, as the demand and supply dynamics in each have been slightly different over the past 6 months.  From a new car perspective, as can be seen from the chart on the left, supply has continued to improve, and registrations increased 21% year-on-year. It's worth noting, though, we are still below the level seen pre-pandemic and significantly lower than the exceptional highs of 2017. Private demand has softened slightly as we've moved through the last number of months. We have seen an increasing number of cars being pushed into the fleet channel where corporates have seen very little volume over the past 3 years and are replacing what has become a much older fleet.  Over the past couple of months, we have seen an increase in discounts on new cars and attractive finance offers to stimulate consumer demand, in particular, on electric vehicles where brands are investing significantly to achieve the government-mandated [dev] target. We are not yet seeing many cars pushed into other discount channels.  We have also seen an increase in used car transaction volumes with growth of 5% year-on-year. Consumer engagement on Auto Trader has been relatively strong over the reported period, and cars have sold slightly faster than both the prior year and pre-pandemic levels. This speed of sale supports transaction volumes, but less so of stock-based business model with retailers continuing to hold less stock than in 2019. We expect that the greater supply of new cars will gradually feed into stronger used car volumes, particularly younger cars with a significant gap in under 3-year-old cars due to recent low new car registration volume.  Over the past 6 months, our audience position has strengthened as both the volume and engagement of buyers have increased. Car buyers continue to prioritize the discovery and purchase of their next vehicle, overspend in other retail categories. The number of cross-platform visits increased 14% year-on-year to reach a record number of 77 million visits per month. Engagement, which we measure as cross-platform minutes, also increased to 555 million minutes on average per month, an increase of 11% on the prior year.  We continue to have the U.K.'s largest and most-engaged audience for new and used vehicles with our share of total minutes amongst our main competitor set, as measured by Comscore, remaining at over 75%. The chart on the right shows the total minutes spent across an expanded set of competitors, retailers and manufacturers. On average, over the year, Comscore estimates that consumers spent 10x more minutes on Auto Trader than our nearest competitor, the combination of Gumtree, Motors and eBay, and 26x that of CarGurus and PistonHeads combined.  Our app has now been downloaded over 18 million times, and around half of our visits are generated through our app. As we progress towards our digital retailing goals, we plan to make more use of more of the native features in our app to support these products.  Outside of our competitors, we also compare our size of audience to that of retailers that are large enough to be tracked by Comscore and/or manufacturer sites. We continue to maintain a significant lead against both with over 35x more minutes than manufacturers and over 42x than the retailer group.  On Slide 17 and the used car pricing. We continue to publish a monthly price index of cars advertised by retailers on Auto Trader, the results of which are shown in this chart. The dark-blue line on the chart shows the average price of a used vehicle advertised since April 2014. As can be seen in the chart, prices appreciated dramatically in the second half of 2021, our financial year 2022, but have at a total market level been relatively stable over the past 18 months.  The average used car price over the past 6 months has been £17,800, a 2% like-for-like growth in prices over the prior year. September 2023 saw the first year-on-year decline in used car pricing for 41 months. However, there is significant variation by age of vehicles and by fuel type. The decline is predominantly being driven by alternatively fueled vehicles, in particular, electric cars.  Part of this decline has come from price reductions on new electric cars, but also from an influx of used car supply, with demand growing but not at the same pace as supply. We are seeing the same dynamics on new cars where demand is also increasing, but not keeping up with supply side growth. Prices on cars over 5 years continue to grow, and petrol and diesel prices are more robust, which is insulating retailers from the more extreme impact of some of these movements.  Let's move on to consider progress against our strategic priorities, which were laid out at our Investor Day last year. As Nathan mentioned at the start, during the first half of this financial year, we have made good progress against each of our 3 strategic priorities. These priorities are closely interconnected as our platform and our digital retailing capabilities build on the strength of our marketplace and deepen our relationships with customers and car buyers.  Our marketplace continues to grow, and we have seen a record number of car buyers using Auto Trader over this 6-month period. Retailers continued to take up more of our prominence products with particularly strong growth in our higher-level packages, which had 5% more retailer stock on them versus the same period in the prior year.  We executed a successful pricing and product event with the launch of our second Auto Trader Connect module, Valuations, in 2023. As part of our platform strategy, this makes specification and condition-adjusted valuations available within our Retailer Portal when many of our retailers manage their inventory. This data can also be accessed through an API via our platform, enabling third parties and retailers to directly integrate valuations into the core systems they use to manage their businesses.  We are also making progress in enabling more of the car-buying journey online on Auto Trader, based through the growth of Deal Builder and the work we are doing to integrate Autorama. We'll cover a few brief highlights on both shortly. This slide shows the relationship between the Auto Trader platform and the services we've made available to retailers and partners. Our data and technology is increasingly important for our retailers and partners. We continue to make the platform that we have built and scaled to support Auto Trader available to third parties. And the level of engagement with these products and services continues to grow.  We now have over 9,300 retailers benefiting from services powered by Auto Trader Connect across over 150 technology partners. The combination of our capability, platform and unique data set presents further opportunities for future AI-related products beyond the valuations and metrics we have already launched.  As part of the April 2022 event, we launched Auto Trader Connect Retail Essentials module 1 on this chart, which enables real-time stock management and makes our vehicle taxonomy available to retailers through our own portal or via APIs. These APIs mean retailers and their technology partners can integrate the services into the systems they use to manage their businesses.  As part of our April 2023 event, we launched module 2 of Auto Trader Connect, Valuations. Our valuations benefit from over 800,000 observations we see on Auto Trader each day, and our machine learning technology continuously improves and optimizes the results. We've recently launched an additional new product, which is available in this second Valuations module, along with the third module of Auto Trader Connect, which includes enhanced retail check functionality for all retailers.  The first new product is Trended Valuations, which shows what a vehicle has been worth over the last 6 months and how it is forecasted to change up to 6 months into the future. It's based on a combination of historic valuation, live market prices, seasonality and age of the derivative within the life cycle of its generation.  We have also launched enhanced Retail Check as the third module of Auto Trader Connect, which allows monitoring of shifts in supply and demand, a competitive analysis of price position against similar stock in the market and estimate how fast the vehicle may sell when priced to market. Retail Check includes one of our key vehicle metrics, the retail rating, which is a unique machine learning-derived measure of how fast the car is likely to sell in a location if the vehicle is priced at the market value. This functionality will also be available for commercial vehicles, which means retailers will have the same level of confidence making retail decisions for vans as they do for cars. Combined, this powerful new layer of intelligence will help retailers confidently adapt and respond to changes in the market, enabling them to make quicker and more profitable sourcing, advertising and pricing decisions. The introduction of these new insights comes in response to retailer feedback on the increased complexity in the used car market, which is creating and making pricing strategy harder to manage.  As part of the second Valuations module of Auto Trader Connect, we launched a vehicle insight page in our Retailer Portal, which is shown on the slide, and has seen over 1.5 million page views each month since launch. This page surfaces our powerful data in an easy-to-use format at an individual vehicle level, helping retailers make faster, better decisions around pricing and advert quality. This has become a central hub and portal and a key tool for retailers to drive the performance of vehicles on their forecourt, allowing them to assess data, including vehicle specification, advert quality, supply, demand and pricing all in one play. Over time, all of these features have been made available in our advertising packages, from market insight and individual vehicle retail rating, better performance analytics, our comprehensive vehicle taxonomy and, most recently, valuations.  Moving on now to talk more about the altering of our strategy and the products which make up digital retailing. Our approach to digital retailing is to be car fair and to enable any retailer, including manufacturers and leasing companies, to sell their vehicles online. With this goal in mind, we are initially offering 2 digital retailing consumer journeys on Auto Trader, a used car Deal Builder journey and an online retailing journey for consumers to lease a new car. Let's take them in turn.  Firstly, we've made good progress on our Deal Builder product, shown on this slide. Deal Builder uses Auto Trader technology to enable car buyers to do more of their car buying online, including valuing their past exchange, applying for finance and reserving the car. Importantly, all of these interactions can easily be carried out either online, over the phone or on the retailer's forecourt.  Currently, these tools are available in our Auto Trader Retailer Portal and at more scale through early technology partners that have completed the integration work. Over time, they will be made available via APIs at scale as part of our platform strategy, enabling these transactions to be picked up in retailers' existing sales, systems and processes.  In the second half of last year, we started a Deal Builder trial with 50 retailers. By the end of September 2023, we've increased the number of dealers live on the trial to 500, representing over 20,000 cars available at any one time, and we've completed over 2,000 deals in the period. In the second half of last year, we completed 200 deals in total and are now completing this many deals a week, demonstrating the progress we've made over a relatively short period of time.  We are encouraged by the percentage of deals that converted into a sale and the positive feedback from both car buyers and retailers on the trial. We're seeing strong buyer engagement out of retail hours with over 50% of deals taking place outside of 9 a.m. to 6:00 p.m., Monday to Saturday, which supports the case that this should build sales capacity for our retailer partners. We will continue to scale the number of retailers on Deal Builder and iterate the product with the goal to monetize some retailers before the end of March 2024.  Secondly, let's briefly consider our new vehicle leasing journey. As we've talked out before, there are significant structural changes impacting the new vehicle market in the U.K. We are seeing growth in electric cars, new manufacturers entering the U.K. market and a shift towards new digital distribution models from traditional manufacturers. These changes present us with an opportunity to play a more significant role in the new vehicle market.  We've continued to integrate Autorama into the Auto Trader platform and have enabled the full checkout of a leasing deal on Auto Trader. By bringing brakes at scale and continued product improvements over time, we are confident that our new car leasing order take rate will grow, whilst also driving efficiencies in consumer acquisition costs.  I'll now hand back to Nathan to summarize our outlook for 2024. 
Nathan Coe: Thank you, Catherine. Now to the outlook. We feel confident about the second half of the year as we have a healthy core business with a good runway for growth, which we continue to prioritize and focus on. In parallel, we are strengthening that by increasing engagement with our platform solutions and growing the number of customers benefiting from our digital retailing capabilities in Deal Builder and new car leasing.  We expect another good year of growth in trade revenues driven by retailer revenue growth. With the price lever being between £110 and £120, the product lever is slightly better than the £137 we achieved last year and a flat stock lever. Retailer numbers are expected to decline modestly from the number we've reported in the first half. We expect the smaller areas of the Auto Trader business to grow mid-single to low-double-digit growth and continue to look to reduce Autorama losses.  Group central costs, which solely relate to the Autorama acquisition and the noncash, are expected to be £21 million for the full year, which we have increased as we have shortened the useful expected life of the Vanarama brand due to the accelerated integration into Auto Trader. These changes, combined with core Auto Trader margins of 71%, will see group operating profit margins increase year-on-year. And finally, our capital policy remains unchanged.  So that concludes the presentation, and we'll now move to Q&A in the room. As I do say most results -- presentations, if you can start with your name and organization and try and keep it to 2-or-so questions. And Jamie is going to coordinate. 
A - James Warner : Yes, if we start down the front and then we'll work our way back. 
William Packer : Will Packer from BNP Paribas Exane. So 2.5 questions. So firstly, sort of interrelated, could you update us on your plans for the monetization of Deal Builder, how you're thinking of it as a transactional product or bundling it with the core? And as we look to the April 2024 pricing events, it looks like you've got some good stuff in the pipe related to the continued sort of bundling of Retail Accelerator. In terms of the quantum of product growth and the relevance of Deal Builder, could you just kind of give us some initial thoughts?  And then I suppose my second question is around -- on the road, there's a couple of investor pushbacks I would love to get your view on for Auto Trader and the end market, in particular, the potential risk in the medium term of the agency model for dealer gross profitability and the potential headwind of the transition to electric vehicles and what it could mean for things like servicing revenue and the role of dealers there. So just they're 2 important potential negatives. How do you think about them in the context of Auto Trader? 
James Warner: I can take the last one. So yes, I mean monetization of Deal Builder, we said at the Investor Day last year that we want to get to £90 to £120 a deal on average, and it will be a combination of subscription and transaction fee, probably skewed more towards the transaction fee than subscription.  As Catherine mentioned in the presentation, we are going to monetize some customers. It's likely to be the people that we had on at the end of the last financial year before the end of this. And I think I would see it very much as a stepping stone to that longer-term guidance. We're still relatively early working through the value story. But I think hopefully taken positively that we are monetizing some customers. And yes, we are trying to get that mix between subscription and transaction fee. And yes, long term, we want to get to that £90 to £120 and continue to scale our customers and be able to see that at scale.  In terms of the next pricing event and guidance into next year, I mean I think, again, it sounds very similar to the Deal Builder answer. We've only relatively recently just launched Trended Valuations, enhanced Retail Check. This is not -- it's very consistent with how we've done things in prior years. We're working through the value, seeing the kind of use cases for customers. We'll work through that through the next 6 months. I think we're optimistic that they're a good set of products. But in terms of contribution, I think we'll be able to give a better sense when we get into May next year for the full year results. 
Nathan Coe: And then on the agency model, and you, by any means, fill any blanks, I think the agency model thing and the electric vehicle thing are really intertwined. But I'll tackle predominantly the agency model. So the first thing to say on agency is that not all manufacturers are saying they're going to go down that route. So you're starting with maybe half or so have some stated ambition to move towards agency, of which a handful are currently running on agency now.  From a retailer's perspective, there are aspects to that, that might feel negative. You were going to get less of a percentage than you would get if you were wholesaling the vehicle. The flip side of that is that you have no capital that you need to put into new cars, and the OEM is taking on a lot of responsibility that you used to be -- you used to have to do. You are no longer allowed to market new cars, the OEM has to do that. You won't have the same conditions around CapEx into the building staff and the like.  So I think with agency, at the end of the day, OEMs need retail distribution. That's what they want, and they need their retailers to see some return. Otherwise, as we have seen, if retailers don't see the return, they will just say farewell to the manufacturer and they'll go and focus on used cars. So I think there is some give and take in there that it's -- you could put out the bad case that agency means they make no money on new, electric means they make 30% less on their aftersales and it's all terrible. But they need to be viable for manufacturers to be able to distribute. So the industry does tend to work these things up.  I think from Auto Trader's perspective, what is unquestionable is that for any franchise retailer and franchise group, selling used cars well becomes so much more important to the returns you get on capital and your existence for years to come than it ever used to be the case. So actually, we might start to see franchise retailers moving as a group to be more like the way our independent retailers interact with them because all they've got is used cars.  The final piece does relate to the shift in responsibilities as a result of agencies. OEMs now become the ones that have the cars on their balance sheet, which used to be the problem that retailers had. And for a few years, we helped retailers shift cars off their balance sheet and into retailers' hands. So some of the growth that you've seen in M&A and when I signaled -- well, we're not suggesting that we're seeing early signs of success. Those OEMs, almost every OEM, I believe, that is looking at an agency agreement or a move to an agency agreement are starting to understand the things that you need to do to shift new cars, and that includes listing actual new cars on Auto Trader.  Now I wouldn't say -- I definitely think it's an opportunity for us, but it's not the quickest thing to unlock because we have spent -- since 1996, we've been kind of educating retailers on taking good photographs, describing vehicles well. And in some way, we've gone back to needing to help OEMs get into the same -- get the same operations in place and the same quality in place because consumers don't really care who's selling the car, what they're looking at is the quality of the vehicle on Auto Trader and how that compares to everything else. So we're going on a bit of a journey to help them improve it.  But overall, that does feel like an opportunity for us. I don't know if you wanted to add anything on electric or agency. 
Catherine Faiers : I think the only thing to say is it's definitely not that agency's necessarily the future. So particularly for some of the new brands that are launching in the U.K., we've seen those new brands, like Tesla obviously, have an owned direct retail network. We've seen some of the big Chinese OEMs actually go with the franchise model, with some adopt agency.  So for the new entrants, it's not the case that all electric vehicles are only going to be sold by agency. There's a real mix actually across all the different brands of franchise, agency, owned retail network. And I think we're going to end up with a new car market, brand by brand, that is a bit of a hybrid of many of these different models. 
Andrew Ross : It's Andrew here from Barclays. The first one is about used car pricing and maybe following up on some of the slides you gave, Catherine. But maybe help us understand what your base case is for, I guess, particularly combustion engine used car pricing in the next year. And I guess, any scenarios in which it could start to decline quickly, and how that might impact your dealer base were that to happen?  And then the second one is, I guess, to follow up on the earlier discussion on the new car listing opportunity in Manufacturer & Agency. Can you just give us a bit more in terms of how you're pricing those listings, how many listings there are now? How many OEMs have -- just anything to try and help us kind of size that today and where it might go. 
Catherine Faiers : Yes, on use car pricing. I don't have a crystal ball, but I can give you a point of view. What's complicated about the used car pricing dynamics at the moment, it's actually we are seeing huge differences by segment. So actually, if you look at the market overall, used car market sort of as resilient as ever despite some of the very negative macro headlines we're seeing.  We're still seeing good growth in transaction volumes year-over-year. We just saw the SMMT Q3 data. Q4, based on our proxy sale, is tracking pretty well. And speed of sales still good, ahead of last year, ahead of pre-pandemic levels as well. And they are two of the kind of leading indicators that we would certainly look to as kind of overall health of the used car market.  Pricing is the one area in the last couple of months where we have seen some weakness. We saw September, the first month with a year-on-year negative movement. October was a bit worse in terms of negative movement. And we're hoping for November to look a bit more like September from what we're seeing. So far, actually, the first couple of weeks of November were a bit more positive than we might have expected.  That does mark that overall picture, very big movement by fuel type and by age type. So typically 5 years and older vehicles, whether they're typically petrol and diesel, are segments we're seeing prices still up pretty strongly. And in 10 years and over vehicles, they're actually up about 9%, 10% still year-on-year. So that overall pitch is then hiding strong growth in older age cohorts.  Younger cohorts of vehicles are where we're seeing signs of weakness, in particular. Electric vehicles, as we talked about at the full year results, still tracking back about 20% year-on-year. And in that sub 5-year age cohort of vehicles, they make up about 5% of transactions. So they are a small but growing segment of that cohort of vehicles.  So dramatic -- quite dramatic pricing movements in electric vehicles with supply significantly outstripping demand. We've seen that normalize in the last couple of months. As that pricing reset has played through, demand ticked up again. And we're now beginning to see some softness in some of the younger petrol and diesel cohorts as new car supply returns through.  So I think we're expecting a bit more of the same like weakness in younger age cohorts, strength in the older-age cohorts of vehicles. As long as we're seeing kind of low single-digit movement, positive or negative, for most retailers, actually, if you've got a reasonable stock mix, you can trade through those kind of movements because you're typically holding a car for 6 weeks or so on your balance sheet.  What we look out for, and we saw in that electric vehicle segment earlier in the year, was like a big one-off movement, which for some retailers did have -- they had to write down vehicles and take a bit of a hit. We haven't seen that, those big movements, to the same extent in other vehicle cohorts. More stability. And we're hoping for more stability in the coming months. 
James Warner: And on the -- I mean, on the new car side, it's very much early days, I would say, in terms of addressable opportunity. It is a product for OEMs that are either selling direct or operating in an agency model. If you have a franchise network, we have a franchise new car product that customers can buy. So that does put some limit, albeit that, that side of the market is changing all the time, with potentially more OEMs going down that route.  From a listings perspective, it's only about 500, but it is a higher-yielding product for two reasons. One, it gives national coverage. And secondly, obviously, with new cars, you can sell multiple units off one listing. Whereas on a used car basis, you really are just selling that one individual advert. 
Sean Kealy : Sean Kealy from Panmure Gordon. Can I ask, firstly, on the agency revenues? Is it just advertising services you expect manufacturers to take up? Or do you think there's scope to sell some of the data services and potentially other services in the future?  And secondly on Autorama. You said you're accelerating the amortization of the Vanarama brand due to the quicker integration. Does that mean you'll be able to take some of the marketing costs out slightly quicker than I previously expected as well?  And then if I could also just ask very quickly on how EV demand might impact Autorama and the leasing business going forward as well. 
Catherine Faiers : On manufacturer revenue streams and the advertising products, we have, for a number of years, sold some of our data products to manufacturers. We are working at the moment, as we get more and more stock volume on, to gather more of the observations, more of the insight, more of the intelligence that we have on used cars. Because as Jamie said, we only have a few hundred cars on today, we've got the retailer cars that are being sold direct, so we've probably got 20-odd thousand cars on. But compared to the 400,000 that we see in used cars, we are building and growing observable data sets, of price position, of how quickly these cars sell.  And we are -- over time, we will build a more robust, more scalable data set that will give us more intelligence to be able to replicate some of the derived metrics that we use our machine learning tools to generate, so like the retail rating, or the performance rating for those cars. But those products come with having stock and observations at scale. We're not quite there yet, but we will get there as we keep onboarding and bringing manufacturers on.  Those data products that don't depend on those observations, whether it's our vehicle taxonomy, which obviously we've been working with manufacturers on; or whether it's our valuation products and residual valuations products in particular, the OEMs have a real vested interest in how their used stock is performing, too. So we do have a small revenue stream from manufacturers, but it should be a growing opportunity in the future as well. 
James Warner: Yes. And on the Vanarama brand, so we've halved the util economic life from 10 years to 5 years. That's from the point of acquisition. So I would expect, yes, over that 5-year period that marketing line to go to 0. Except that -- though I'd have it -- I think consensus is sort of 4.5% into this year. I would have it stepping down over the subsequent in 3 years.  Some of it slightly depends at the moment is driving a lot of the van volumes. We're doing the work to get vans onto Auto Trader so that, once we've done that change, that will probably yield a significant step and then it will step down subsequently as it just becomes, really, Auto Trader platform driving the deals. 
Nathan Coe: Did you want me to take the... 
James Warner: Yes, that third one. Yes. 
Nathan Coe: Yes. So this is how is EV demand impacting the Autorama business? I think the Autorama business is being more impacted by supply, if I'm honest. So Catherine kind of covered it. And most of the new car volume that has come back has gone into the fleet channel discount. Probably more than you would get in the retail channel, where capacity to pay, they hadn't been able to replace vehicles for 3 years.  So you haven't really seen big discount playing through, nor have you seen a lot of supply, and those 2 things do move together. So we are starting to see more and more new cars, reflecting a slightly higher discount. EVs have been more pronounced partly because the price moves that Catherine spoke about, where you've had the Tesla reductions, which doesn't just affect Tesla, it kind of affects the category.  So I think until we start to see those private new car registrations ticking up, which has remained relatively flat, it's going to -- first go into those retail channels and then it will come -- it will find its way down the waterfall, if you like, towards the proposition that Autorama has.  One thing I would say is that the broker channel, that core channel does tend to have very, very good deals for new cars. But it's a smaller group of new cars, not quite the TK Maxx of cars, but it is that sort of -- it's not a distressed channel, but it's one of those channels that you will use after your own.  I think where we're wanting to position that business over time is a transactional version of Auto Trader, which is not about us pre-reg-ing vehicles. It's not about the special deal on small counts of vehicles. It's about every single vehicle you've got available on PCH and putting that out to the Auto Trader audience.  So we're wanting to move ourselves, we're looking to move ourselves up, which is what the OEMs would prefer us -- would like us to do as well. But it just takes time, and you need some cars to push, to sell, in order to be able to really activate those models. 
James Warner: Do you want to Pete down here? 
Pete-Veikko Kujala : It's Pete from Morgan Stanley. Apologies, I have a few. But starting with DST, you said that you think not all of your revenues are in scope. So I wonder what those out-of-scope revenues you think would be. And I guess, most importantly, like does the tax man agree, or do you need to dispute that?  And the rest are on products. So you had 37% penetration of the above -- or above-standard packages, which is up from 33%, I think, in March, which is quite a jump at least to my eyes. So any color? Like what's specifically driving that would be helpful.  And then the last is on Deal Builder. So what kind of communication have you had with the dealers that are currently on trial with regards to future monetization? I wonder, obviously, they are not happy that it's not free forever, but what kind of talks have you had with regards to future monetization?  And with regards to the subscription and transactional part, would all of that be in the product lever, or would you be willing to kind of carve out the transactional part? Because if Deal Builder is successful, then the transactional part would make ARPA much more volatile over time. 
James Warner: If I do the first, Catherine the second and Nathan the third. Yes. So DST, it's a great question. At the moment, we estimate that about 90% of Auto Trader revenue is in scope and about 85% of group revenue. The biggest line that is out of scope is the vehicle and accessory sales, which I think is reasonably clear cut. We are engaging with HMRC, where we're writing to them saying this is what we believe to be out of scope. And we'll have an answer back on that by the end of this financial year. So there is some conversation to be had, but I think we're hopeful that what we believe is out of scope, there will be an agreement with.  I think it's a bit of a moot point for fiscal year '25, so I think we're just talking about this financial year because, even consensus growth rate, and it is all largely marketplace revenue where the growth comes from, so we will fall in scope for next year. Unless something happens with the time line of implementation for this new global two-pillar tax change. But I think we're hopeful that is in place during calendar year 2025. And so it is in 2026 financial year, it's not something that we incur anymore. 
Catherine Faiers : On prominence and what's driven the prominence growth. I think there's a few different things going on actually with different segments of the customer base. We've definitely seen a cohort of customers that have been sitting there saying, "Actually, I want to do more with less. I want to -- I have been holding a bit less stock because the stock hasn't been there. What I really want to do is drive speed of sale, drive velocity of transactions, keep that stockholding the same, but get the cycle time going."  So we've seen a number of retail groups come to us with that very specific strategy, and that's absolutely what prominence can do for you, it can help you drive that velocity and put less capital to work to drive more transactions.  And we've also seen, because there's been very intense sourcing competition in some age cohorts of vehicles, particularly some of the younger age cohorts where the supply hasn't been there, we've seen some of the big franchise groups in particular competing, looking to compete very directly with the supermarket group.  Franchise groups looking there, as Nathan talked to you before, looking to really push and drive the used car opportunity. And actually, for them, again, a way to -- in most of our bigger supermarkets have always used our prominence products. If you're a big franchise group and you want to compete and you're stocking the same type of vehicles because they're the vehicles that are available, then actually, again, prominence is a great way to accelerate how competitive you are against other local or regional players.  And then finally, I'd say in more recent months, we've definitely seen some retailers that, into October, have seen some softening. And in -- or certainly some sense that the market for them is a bit softer than it might have been. And so we've seen some retailers then saying, "Well actually, I need to know if the market -- if I feel like my markets gotten a little bit smaller, I want to make sure I'm taking a bigger share of that or at least retaining my share." So hearing from them is to try and make sure that I'm driving that market share position.  So a number of different prominence plays to a number of different strategies for retailers. And I think we've seen all of those conversations, different conversations, play out or different types of retailers in the last few months. 
Nathan Coe: And on Deal Builder, I'd make the first observation that we're comfortable to say the way we still intend on monetizing customers this year. And we do reflect on these things deeply in between results presentations. I think that things have happened over that period of time.  Obviously, we scaled up customers, and that's why we've kind of been more tentative to put our views forward on that. So we have got a good number of customers that are using it. We've seen how the percentage of their transactions has played out, and we've been through the debate internally to kind of get to a view on what might be the best way to start testing monetization.  So I don't think we'd call it done by any means. And we have spoken to some customers and kind of shared some of those thoughts. So I don't think it's by any means kind of done and dusted. We've got a pretty good track record of monetizing stuff and I think we've kind of got our heads around this.  It does link to your -- those conversations with customers, what they say always is that these deals are the most valuable thing that they use in the Auto Traders, no question. It converts better, and your likelihood getting upsells. It just saves time. They're more efficient. It's definitely where you want to start in the morning. So there's no question, the value of the deals that we're putting through.  I think on the balance between subscription and transactions, well, that will come down to what percentage of your sales does it account for. So they'll always pay for those transactions. But if there -- you can probably push a subscription, if you're up towards 50%, 60% of their total deals that they get from Auto Trader, it's harder with smaller numbers. So I think for now, we will still look at subscription and a transaction charge.  I think on the volatility, I'll be probably a little less concerned about that. If you do look at used car transactions in more normal times, which hasn't been the last 3 years, admittedly. But even over the last 3 years, it is far less cyclical with the exception of December than something like new cars. But it's not lost on us, we do like subscription. We do like subscription and revenues. But we are looking to kind of bridge of monetization or an economic gap with Deal Builder. So we probably -- there's a bit of give and take in there. 
Catherine Faiers : You'll also imagine for the first few years of the product, like we're at 5-odd percent of retailer deals, but the growth that we're going to get, you would get, in penetration of deals should well outweigh any -- take -- I mean, it will be a nice place to be, right, where we're significant enough share of deals that anything cyclical begins to impact that number. 
James Tate : So it's James Tate from Goldman Sachs. I've got 2 questions, please. Firstly, the margin in the core Auto Trader business was above 71% and I think a bit better than expected, and the full year guidance was upgraded. So what -- is that all being driven by operating leverage within the business? And how should we think about the moving parts of margin in terms of sort of headcount, wage inflation, marketing in H2 and 2024 and beyond?  And secondly, the stock lever was perhaps a bit weaker than expected in H1, but you reiterated the full year guide. What gives you the confidence there? Have you seen improving monthly trends through the year? 
James Warner: Yes, I can take both of these. So I think that, that slight margin upgrade is largely coming through operating leverage. There is -- if you think about the cost growth, the largest component is people costs. There are more people and there's underlying salary increases. And Nathan alluded to a new share scheme, so slightly higher share-based payment charge in this year, then also impacts '25 and '26. Marketing and other costs are probably areas where it's slightly below top line growth, and that's where you get that margin expansion from.  And then in terms of the stock lever, yes, it was down to £32 in the first half. I think -- I know it's not always a perfect measure to the people that track the live stock on site. We'll see it slightly up year-on-year, but I think it's where we are now. You don't -- never quite know what will happen over the next 4 months. But if we hold some slight improvement from these levels, which I think we expect, we're reasonably confident in that stock lever guidance. 
Giles Thorne : It's Giles from Jefferies. I had two questions, please. First one, back on Deal Builder, back on monetization. And it'd be interesting to hear how good a job you think £90 to £120 does on capturing the value of the underlying car that's being sold, and then the value to the dealer being able to sell obviously and maybe fire a couple of people and actually having a very high conversion channel. And indeed, you've spoken about the conversion of that channel being better, would you kind of put some numbers on it?  And then the second thing I had was, again, Deal Builder. And just back on new car, you've got the new car advertising product. Agency -- OEMs going down the agency route. It feels to me the glaring question is when will you launch an iteration or a variation of Deal Builder for OEMs? 
Nathan Coe: So on the first question, I would say I'm not sure Auto Trader advertising fees, Giles, quite capture the economic value of the cars that have sold there with a 10x return on the investment and the £120-or-so cost per sale. But it's a little bit academic.  So I think in some ways, what we were aiming to achieve with Deal Builder is can we double that take rate and add value to the retailer, through both -- labor. But interestingly also, retailers are much more minded to think about extra money they can make than the cost that they can save. And for a lot of our -- remember, our average retailer has only got 32 cars, they do have loads of stuff kind of spilling around.  So I think it's still a good aspiration to have. And when we get there, then we'll ask the question that you've just asked. But I think at the moment, what we want to get is to really shift the behavior of both retailers and consumers in the way they think about cars. It's typically how -- we have typically found, for better or worse, or rightly or wrongly, that we do really undermonetize products once they get going. But you can kind of pick that up in the right way over time, and I think Deal Builder will be one of those products. 
James Warner: There were a couple other bits in the question. One was around capturing the value of the car in that pricing. And the £90 to £120 is an average, that transaction fee is likely to be linked, or will be linked, I think, to the price of the vehicle. So it should be capturing that value aspect. That conversion rate, I think what we're seeing at the moment is deals convert pretty close to 1 in 2 versus more traditional inquiry types that are 1 in 4, 1 in 5. 
Catherine Faiers : On advertising products and new car. Yes, absolutely. We -- ultimately, the goal would be to have a Deal Builder product for those new cars, too. I think what we've learned from our advertising to Deal Builder journey on used car is that, actually, the better you can advertise the car to sell, the better you will perform on as a Deal Builder customer as well.  So the more optimized you are for speed of sale, for price position, the better your ad quality, the better your retail rating, all of those things that we talk about all the time on used car, they are the things, the foundations that you need to be a good digital retailer on Auto Trader as well.  So actually, I feel like with where we are with the advertising product, scaling that advertising product, really understanding everything we can about price position, everything we can about the description, the advertising performance of those cars and what really makes them sell, will mean that when we do launch about the Deal Builder product, it will be even more powerful.  In terms of the like technical or product capability to make a new car Deal Builder product, like much of what we're building for used car is reusable in some form. Particularly, the lenders, the finance providers are different, but we're integrating with many of those. The parts exchange journey might need to be very slightly different. But actually, the core building blocks of that end-to-end online journey and that handover into a retailer, which in this case, would be a handover into a manufacturer, all of that is pretty consistent.  So it's not a huge amount of new technical work, it's mostly about having the data product, the connectivity with the manufacturers, to make sure that the consumer experience and the manufacturer experience can be as seamless and performing as it can be. 
Ciaran Donnelly : It's Ciaran Donnelly from Berenberg. A few questions from me. Just firstly, on the Deal Builder, let's call it the core user journey. Could you just give us a sense of users that enter the journey to converting through the whole process, what that looks like? And could you just remind us, can the separate elements be used discreetly by the users still in that journey?  And then secondly, just in terms of the leasing journey. Can you clarify whether all the stocks applied in that journey is coming from Autorama? And then, I guess, just in connection to that. Can you give us an insight into how dealers are seeing the relationship with Auto Trader now post the acquisition of Autorama, in terms of shifting from a potential partner to more of a competitor? 
James Warner: Shall I take the first one, and Nathan look at the second? 
Catherine Faiers : I'll do the last. 
James Warner: Sure. So I think the conversion through the Deal Builder funnel, we've not put numbers out there. I think we would say it's good for initial launch, but there is room to improve it.  So learning, even all the way back from the very front end part of the process, where you're on the full page ad, you're interested in that vehicle, why might you click on that button? To then having clicked on it to get through the funnel. And that, it's probably that through the funnel that has good room for improvement. I think full page ad into button, Catherine mentioned the 5% of sales we're implementing. That's probably where there's even greater scope to make improvements.  A deal has to have -- in terms of the individual components, a deal has to have a reservation to qualify the deal. Part exchange and finance are optional add-ons, and they can be done. But everything has to have a reservation. But those two can be done or not done as the buyer chooses. 
Nathan Coe: Yes, the leasing journey on Auto Trader and the journey it is on Vanarama today. All that stock is kind of Autorama stock, but I think there are two important caveats. Autorama is essentially a marketplace, and that's what we want to go forward with. So there's 14 leasing providers, there's all OEMs, and you basically put the deals between the OEM to the leasing providers, get the best deal for the consumer and then transact it. That's kind of the model that we want to move to.  Only 10%-ish of vehicles are actually Autorama vehicles, as in have been preregistered in some ways. So that's the minority. And over time, we see that becoming small to nothing over the longer term. Our real focus is on that marketplace so we're not selling our own vehicles into the marketplace, which probably leads nicely into Catherine, your question around the dealer relationships. 
Catherine Faiers : Yes. I mean, to be honest, most dealers because through Vanarama and through the leasing broking, we've always positioned it, which is absolutely the goal for this model, that we're marketing those cars on behalf of a funder or a leasing company. So it's not us, Auto Trader, taking inventory risk or a position on those cars. Well, certainly for the majority of cars and for the model that is a scalable model in the future for that business, is absolutely not with us or Autorama taking any risk at all on those vehicles.  So it's us providing a route to market, another distribution channel for someone that owns a car and wants to sell it. Now there's, what, 7.5 million used car transactions in the U.K. each year and 1 million or so private new car retail sales. Leasing is a new car-only product today, and the segment of consumers that are in market for a brand new car and are open to leasing, it's a big and growing cohort. But compared to where the volume of the market is, which is still very much in used car transactions, actually, most of our audience, most of our retailers, are focused on that massive market and massive opportunity.  And as long as our core products are performing for those retailers and we're acquiring consumers and audience and engaging them and sending leads and transactions to those retailers, then actually for most of our retailers, the broking proposition, the broking product, isn't really visible to them and certainly isn't impacting their core Auto Trader performance.  So vast majority of the customers, I don't think since we did the acquisition, have really noticed. Or we've seen -- we haven't seen a huge amount of feedback. There are 1 or 2 of the big franchise groups that have fleet divisions, a couple of them own their own leasing brokers. And so for them, clearly, they're more interested in what we're doing, but more interested because they've got a business that directly happens to complete with the broking bit, rather than because they see our product cannibalizing their core used or new car business. 
Ciaran Donnelly : Just as a quick follow-up, as you bring that leasing journey into the used environment, do you think that could shift further? 
Catherine Faiers : So I think we're a ways away at the moment from having any funders or leasing companies that have got viable or are getting serious about putting volumes through used car direct-to-consumer leasing. We're still at a moment where the new car PCH market hasn't really come back to anything like the volumes we were seeing prior to the pandemic.  And I think certainly, everyone we talk to is very focused on driving growth again in that segment of the market, and used cars still feels like quite a long way. However, I think we will we'll deal with that and think that through as and when we need to. But does it feel like something we're going to need to tackle in the next couple of years. 
James Warner: Great. A reminder that it's the last one. 
Rahul Chopra : It's Rahul from HSBC. Three quick questions from my side. The stock on the market extension was down to 5% in H1 '24. So could you just explain what was driving that?  Second, obviously, you invested a lot in terms of product, but could you also talk about investments in AI in terms of how could you think about in terms of customer interaction within the portal, and basically around the dealer? As well as general thoughts about the overall product pipeline in general beyond what you have currently as well?  And finally, on the margin aspiration for Autorama in FY '24 and '25, please? 
James Warner: You want to take stock on market extension, you do AI and I'll be the last one. 
Catherine Faiers : Yes, we have seen a slight drop in the volume of stock on market extension. What we've seen, I think, over the last year or so from customers actually is a lot of -- we've seen quite a lot of experimentation of, firstly, customers trialing different versions of Click & Collect or home delivery model, trying to establish like what operating model, what combination of consumer experience that they want to put together? Which is then some retailers have trialed the product perhaps haven't operationally been ready, actually often, to support the volume of leads and the physical movement of vehicles that you often need to have in place to support a consumer experience on the product.  So we've seen some customers come on arguably a bit early, in terms of operating model, being ready in there to support it. And we've also seen some movement between customers trialing that market extension product. And then we had a big customer recently that moved from market extension to one of our higher-yielding prominence packages.  So they're both different ways of buying more visibility, more and more sales on Auto Trader. What we haven't done and we're in the process of doing is connecting that market extension product into the Deal Builder journey because that should be where these 2 things really come together to deliver the best experience for retailers and consumers. When you've got a car that might be a long way away from that consumer, but they can reserve the car they can complete more of the jobs online, then they're much, much closer to the transaction, whether they need the travel for the forecourt or you're potentially delivering the car to them and thus completed all of the journey. So we're hopeful that bringing Deal Builder and market extension together in the coming months will help to drive growth in market extension.  Also some of those customers that we worked with initially that weren't quite ready, we're now seeing some of those come back on looking to extend reach. They've got the logistics capability in place, they're thinking differently about Click & Collect potentially rather than home delivery as the main proposition. So I think we're confident that there's still growth in that product to come. 
Nathan Coe: Yes. And on your second question, in terms of product road map, there's loads. They do break down into the marketplace platform, digital retailing. Each of those are rich themes that I think we can mine realistically for many years.  In terms of AI specifically, you won't have necessarily seen this, but in anticipation of this question, but not so much that we thought we needed to cover it in the main presentation, slide 33 answers your question, hopefully, briefly, conclusively. But it just talks to we have been building and -- actually, it turns out most of what Catherine talked about on the platform slide is all artificial intelligence-based models that we are in the process of monetizing. We've been doing that for 5 or 6 years.  We think there's more that we can do. We think large language models are interesting. We don't currently -- we've got capability in those, and we've got collaborations with universities in those, but we haven't deployed any of those.  Yes, certainly consumer-facing because we do think some of the technology still needs to mature a bit in terms of cost effectiveness, and also accuracy because that's one thing our retailers and consumers do hold us to a very high standards when it comes to putting stuff out there. But we've got all the capability there, and we're looking to deploy those things to make dealers more efficient, to make consumer's journey -- the consumer's journey more efficient and actually make our own people efficient. And we're doing versions of all of those today. 
James Warner: Yes. And on Autorama, so we said the guidance is largely unchanged. It focuses to significantly reduce the losses. I think consensus for this year is close to 9%. Next year, it's sort of 2.5%. And longer term, we said thought it could get to 20% to 30% margins, and that's unchanged. 
Nathan Coe: Okay. We're going to finish up there. Thank you, everyone, for joining us, and everyone joining us on the call. And that's all for us. Thank you.